Operator: Welcome to MasTec's first quarter 2010 earnings conference call initially broadcast on May 6, 2010. Let me remind the participants that today's call is being recorded. At this time, I'd like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Marc?
Marc Lewis: Thank you, Nancy. Good morning, everyone. Welcome to MasTec's first quarter earnings conference call. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking such as statements regarding MasTec's future results, plans, and anticipated trends in the industries where we operate. These forward-looking statements are the company's expectations on the day of the initial broadcast of this conference call and the company will make no effort to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press release, filings with the SEC. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In addition, we may make certain non-GAAP financial measures in this call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP financial measure can be found in our earnings press release or on the Investor Relations section of our website located at www.mastec.com. With us today, we have Jose Mas, our Chief Executive Officer; and Bob Campbell, our Chief Financial Officer. The format of the call will be opening remarks and analysis by Jose followed by a financial review from Bob. These discussions will be followed by a Q&A period, and we expect the call to last approximately one hour. Jose?
Jose Mas: Thank you, Marc. Good morning and welcome to MasTec’s first quarter call. Today, I will be reviewing our first quarter results as well as providing my outlook for the markets we serve. First some first quarter highlights. Revenue for the quarter was $450 million, a 32% increase over prior year's quarter. EBTIDA increased 20% to $34 million versus $28 million in last year's first quarter. We generated organic growth during a very difficult economic environment, cash flows were strong and EPS was $0.10 a share for the quarter. We had a solid first quarter; actually we performed better than expected. On our last call, I mentioned the severe weather being experienced early in the quarter. While the weather negatively affected some of business during the quarter, the impact was offset by the strength in our pipeline, renewable and wireless business. Our pipeline business accounted for nearly 25% of revenues for the quarter, with our most recent acquisition representing over 80% of that number. Our renewable business was up over 50% and our wireless business more than doubled from last year's first quarter. Over the course of the last few years, I have discussed our diversification strategy and it’s focused on what we believe are higher growth industries. We are beginning to reap the positive results from that strategy. We have been through a very difficult economic period and while there are many signs of improvements, it’s still tough out there. Despite that by the end of 2010, we expect revenues to have doubled and EBITDA to have tripled that of 2007 and we did this during a very difficult economic environment. As the economic environment improves we believe we will see significant opportunities or substantial improvement in our business model. In general, over the past few months we have seen a large increase in the number of opportunities that are available to us in our different markets. Today, our resources remain under utilized, but we are holding on to those resources despite a short-term cost in anticipation of things to come. We have built a solid portfolio of service offerings and are well established in growing markets. I have said it before and I’ll say it again. MasTec has never been in a better position than it is today. Now I would like to cover some industry specifics. Our communications business accounted for 50% of total revenues for the quarter compared to 58% in last year's first quarter and 52% in the fourth quarter of 2009. Within communications our install-to-the-home business was down slightly year-over-year and flat relatively to the fourth quarter. While we are entering the weakest quarter of the year with DIRECTV, our largest communications customer, we are encouraged by recent activity and expect a slight year-over-year increase in revenues in the second quarter from DIRECTV. Our Wireline and Wireless business were about equal in revenue in the first quarter. As I stated earlier wireless revenues doubled on a yearly basis, but we’re down sequentially as expected. In 2009 over 65% of our wireless revenues were generated in the third and fourth quarter. While we are experiencing significant year-over-year growth, we expect a similar percentage of work to be performed during the second half of this year. AT&T, our largest wireless customer recently gave CapEx guidance for 2010 of between $18 billion to $19 billion, yet they only spent $3 billion in the first quarter. They also indicated that wireless CapEx should increase 34% on a year-over-year basis. We currently have excellent visibility in this industry, our business is progressing as expected and we plan to see significant year-over-year growth. Now I'd like to cover our utilities business, which comprised 48% of revenues in the first quarter compared to 36% last year and 46% in the fourth quarter. The growth in both our renewable and pipeline business offset the reduction in our transmission and distribution business. Let me cover the distribution and transmission business first. As we have stated on previous calls, our distribution business remains challenged and while this business is beginning to stabilize, we don't expect much improvement in 2010. As it relates to transmission, we have increased our market presence and expanded our geographic reach and service capabilities. While not currently a substantial portion of our portfolio, we continue to believe that the energy transmission business will be an area of opportunities for us in the future. As it relates to our pipeline business, we had a solid quarter. Precision Pipeline, our most recent acquisition performed as expected, generating approximately 20% of revenues for the quarter. The pipeline construction backlog for 2010 remains strong and we were recently awarded two good-sized projects in the Northeast. While Precision has always had a presence in the Northeast region, it continues to grow and we expect it to become a larger piece of Precision's business in the future. Our largest 2010 pipeline project will be our work on the Ruby Pipeline. Although we anticipated that this project would start late in the second quarter, construction start is now expected in early July. The delay will affect second quarter revenues and earnings but should not impact our 2010 expectations. We remain encouraged by the level of activity and the number of projects we are seeing in bidding. Bid activity is very strong and our expectation is that both 2010 and the foreseeable future will present us with even greater opportunities. Now, I’d like to cover our renewable business. Last quarter, we announced that our 2010 workload stood at 922 megawatts of construction. We've since been awarded two additional projects totaling a 180 megawatts bringing our 2010 work plan to just over 1100 megawatts. Our 2010 workload as it stands today in May is greater than any we’ve ever constructed in a given calendar year. We continue to work with a strong customer base and we expect 2010 to be an excellent year. Bid activity remained strong and we’re seeing an increase in planned projects and RFPs, both for the remainder of 2010 and for 2011. Our 2010 guidance assumes completing somewhere between 1300 and 1400 megawatts and we feel we are well on our way to accomplishing that. As it relates to solar energy, we believe it will provide a viable opportunity for future growth. We are making significant investments in the necessary resources to compete in that market. We expect our growth in this sector will be organic and remain hopeful that we will build a major solar energy project in 2011. While small, our government business was down 50% year-over-year in the first quarter. This has been a very competitive market as many contractors have shifted to compete for government dollars. However, over the last two months, backlog has doubled in this business and activity is strong. In summary, MasTec is performing. The acquisitions we’ve made over the course of the last few years are doing very well and in many cases ahead of our internal projections. We have a great team in place and the pace of opportunities is increasing. 2010 should be an excellent year for MasTec and early signs are that 2011 will be even better. I would now like to turn the call over to our CFO, Bob Campbell. Bob?
Bob Campbell: Thank you, Jose and good morning. I'm going to cover three areas today, first quarter earnings, second quarter guidance and then cash flow and liquidity. First, I’ll mention a few highlights and then I'll go down into the details. For Q1, my highlights are Q1 revenue of $450 million, was up 32% from last year's Q1. Utilities or energy revenue grew to 48% of our total revenue versus 36% a year ago with the help of the Precision Pipeline acquisition and good renewables revenue. Q1 EBITDA of $34 million increased 20% or by $5.5 million versus last year. Q1 gross margin as a percent of revenue dropped as a result of our increased seasonality, carrying excess capacity for the second half of the year, higher fuel costs and unusually bad winter weather. Gross margin was 13.6% for the quarter compared to 15% a year ago. Q1 G&A as a percent of revenue improved to 6.1% compared to 6.8% a year ago. EPS of $0.10 was down from $0.16 in Q1 last year. The decline in Q1 2010 EPS was primarily caused by the book tax rate going from 1% last year up to 40.6% this year. This item alone hurt the quarter for a negatives $0.06. The book tax rate remains mostly non-cash because of our NOLs. We were also hurt by higher depreciation and amortization our interest in a higher share count and the impact of all of these items is accentuated in our seasonally weakest quarter. Q1 cash flow from operations continued our strong cash flow trend with $35 million and free cash flow was $30 million. Cash on hand grew to over a $100 million and our liquidity grew nicely from a $160 million at year end to 201 million at the end of Q1. All of our cash related metrics benefited from a big drop in our accounts receivable day sales outstanding. Our DSOs dropped 10 days from 60 days at year end, down to 50 years at quarter end and that’s a record low level for MasTec Now for the Q1 details; Q1 revenue was up a $108 million year-over-year to $450 million. Increases in renewable, pipeline and wireless were partially offset by the weakness in some of our other markets. I’ll talk about increases with specific customers a little later. Q1 gross profit margin declined from 15% last year, down to 13.6% this year. The decline reflects our increased seasonality, carrying additional capacity for the second half business ramp up higher fuel costs, soft pricing and usually bad winter weather. As we mentioned on the year-end call, with our current business mix we operate much more in Northern weather affected areas, plus this winter was usually bad in terms of lost days and productivity. Including in the mid-Atlantic and southeastern states where we normally don’t get much bad weather. Depreciation and amortization of $14.2 million was up almost $4 million from Q1 last year, reflecting primarily the growth in fixed assets and pipeline, but another big driver was a $1 million increase in amortization expense for acquisition related intangibles, that’s also for precision. For Q1, G&A expense improved from last year to 6.1% of revenue down from 6.8% in last years comparable quarter. We are doing a pretty good job keeping our over heads down as we grow. Net interest expense for quarter was $7.4 million, compared to $5.8 million last year, due to higher debt and lower interest income. I’ll talk about our capital structure a little later. As I mentioned Q1, EBITDA was up $5.5 million while EPS was down $0.06. The drop in EPS was primarily due to a dramatically higher tax rate, and also higher depreciation and amortization expense, higher interest expense and an increased share. As I mentioned going from a 1% book tax rate last year to a 40.6% rate this year negatively impacted book EPS by $0.06. In higher depreciation and amortization interest and our higher share count also heard Q1 to Q1 comparisons and the impact of these fixed cost items is accentuated in our seasonally weakest quarter. For the first quarter of 2010, the 10 largest customers were; DIRECTV was 27% of total revenue; Enbridge a pipeline customer was 19% of total revenue. AT&T was 15% of total revenue, up from 11% last year. The growth is coming from our wireless business. Duke Energy was 7% and that’s for wind farm work, at a submission another wind farm customer was 5%. Great River Energy was 3% we are building a 100 megawatt combined E-Power plant for this customer. Verizon was 2% compared to 5% last year. The drop reflects a slowing of (inaudible) spending. EXCO Holly [ph] another pipeline customer with 2%, Progress Energy a transmission and distribution customer was 2% and finally CenturyLink Embarq was 2% of total revenue. Regarding diversification our top ten customers now include one satellite television customers, three telecom customers, two pipeline customers, two wind farms customers, and two traditional electrical utility customers. Regarding concentration with DIRECTV, the concentration peaked at 47% of total revenue in Q1, 2008. In Q1, this year it was down to 27% and for the full year it should be in the low to mid 20s. We expect DIRECTV to drop below 20% of total revenue over time as renewable wireless and pipeline all grow faster than DIRECTV. We believe that we have successfully addressed our DIRECTV concentration issue. Today backlog is about $2.1 million that’s an 18 month backlog number. The comparable number if you want a year ago was about $1.8 billion remember that sense over 50% of our revenue comes from master service agreements or other contracts for continuing services our backlog includes an estimate of the next 18 months of revenues from those contracts. Now let me talk about our cash flow liquidity in our balance sheet. First quarter net cash flow provided by operating activities was $35 million, compared to $49 million last year. Q1, free cash flow was $30 million. Our cash flow continues to benefit from our large tax NOLs. First let me cover how the NOLs impact our cash taxes and later I’ll cover our 2010 book tax accrual rate which is dramatically higher than our actual cash taxes. Currently, we have a federal tax net operating loss or NOL of about $110 million which we can carry forward against our (inaudible) tax liabilities. Because of our NOLs, we paid only modest cash taxes for 2009 and we expect to pay modest cash taxes again in 2010. Based on our current projections, we will likely exhaust our NOLs in the later part of 2010, so we expect to pay some cash taxes on our earnings of 2010, but far or less than would normally be paid. And then by 2011, we expect to be a normal flow of cash tax payer. Our tax position really helps our cash flow for 2010. As I mentioned in the first quarter we saw dramatic drop in accounts receivable day sales outstanding or DSOs at quarter our DSOs were 50 days, compared to 64 days a year ago and compared to 60 days at year end. That’s a record low level of DSOs from MasTec which was helped by the inclusion of precision pipeline into our numbers. It is worth noting that over the last five years our DSOs have dropped from 86 days down to 50 days. The DSO reduction of course contributed to our continued strong cash flows and increase liquidity, regarding capital spending we only spend $6 million in Q1, in our 10K we had an estimate of 40 million to 49 million for the full year which was conservative, but at this point I would estimate that CapEx will more likely be in the 30s for 2010. To summarize our cash flow characteristics I would say this, EBITDA continues to rode nicely DSOs in the 50s are really good, CapEx estimated to be in the 30s this year is modest. Cash interest estimated at under 30 million is also reasonable and our cash type payments should be modest for 2010. Therefore, our cash flow should be very good again this year. At the end of the first quarter, we had a $103 million in cash compared to 89 million at year end and 58 million for Q1 a year ago. Our liquidity has continue to improve with cash and availability under the companies credit facility totaling $201 million at quarter end compared to a 160 million at December 31st 2009, and compared to $91 million at Q1, 2009. Let me talk for a minute about our capital structure, as a quick capital structure summary at quarter end we had $537 million in equity $431 million of total debt only (inaudible) million in net debt that’s net of cash. And expect to have $218 million to $223 million of 2010 EBITDA. Therefore, all of our balance sheet and credit ratios are in very good shape. I’d like to note two things about our capital structure, first we have no significant debt maturities until 13, 14, and 17 and second all of our debt has attractive interest rates. To give you a little more detail our bank line materials in 2013, but of course we intend to role it over a prior to maturity. The convertible notes, will mature in 2014 and our senior notes mature in 2017. And as I mentioned our debt is very attractively priced, we currently pay LIBOR plus 250 on our bank revolver only 4% and 4.25%, on a two convertible notes and we pay [75%] on our senior notes. My overview of what we have been able to accomplish over the last couple of years is as follows: We’ve been able to expand into a number of new markets with excellent growth potential dramatically reduced our DIRECTV concentration improve our operating cash flows all maintaining good liquidity and a solid capital structure. Now let me cover Q2 guidance we currently expect Q2 revenue of about $465 million and EBITDA, of $43, fully diluted EPS of $0.15. As I mentioned a major pipeline project delays negatively impacting our second quarter guidance. Future guidance reflects a 20%, increase in revenue and a $7 million or 20% increase in EBITDA, versus Q2 last year. Q2 EPS guidance of $0.15 compares to $0.25 last year and as I noted for Q1, the dramatic increase in book tax rate has a big negative impact on book EPS comparisons. The Q2 book tax rate last year was 2%, and this year we expect 40.6% which has a negative impact of $0.09 per share for Q2 and it is mostly non cash because of our NOLs. In addition we have the same negative comparisons for higher depreciation and amortization and interest and a higher share count that I mentioned relative to Q1 comparisons. Thus we will go through Q2 with somewhat higher fixed cost while we have overcapacity or underutilization that Jose mentioned with a resulting drag on the Q2 P&L. We continue to estimate full year 2010 revenue of about $2.1 billion and EBITDA of $218 million to $223 million and GAAP fully diluted EPS of $0.92 to $0.95. That’s revenue growth of 29% and EBITDA growth of $65 million to $70 million or 42% to 46%. 2010 GAAP fully diluted EPS of $0.90 to $0.95 compares to $0.90 for 2009. 2010 GAAP EPS is negatively impacted by a very large increase in the book tax rate. The 2010 book tax rates should be about 40.6% compared to 10.6% for 2009. The book tax rate increase is a $0.43 to $0.45 per share negative drag on 2010 GAAP earnings. As I’ve already noted, our cash taxes for 2010 will be modest. So, the tax accrual is mostly a non-cash charge. As we look at today's mix of MasTec businesses, we have said that we are excited about the growth prospects for renewables, natural gas, petroleum pipelines and processing plants, wireless, electrical transmission and finally industrial construction by Wanzek. Much of our growth has come from and will continue to confirm relatively large construction projects and not from our traditional master service agreement work other than the wireless. Master service agreement revenue or other similar contracts for continuing services has reduced from about 75% three years ago, down to 53% for Q1. The implication of this shift is simple. while we still have a large amount of contractual generally recurring revenue, we have become somewhat more lumpy in our quarterly earnings. We maintain significant and costly infrastructure and renewables and pipeline, which gives us better earnings and I believe better margin potential. But it also hurts on the P&L when we are under utilized. That was part of the story for Q1 earnings and that’s part of the story for the Q2 guidance that I just mentioned. The other side of that coin is that 2010 should be the tale of two halves. A light first half with holes in our schedule for renewables and pipeline, followed by a dramatically stronger second half driven by more wind and pipeline work and beyond the lumpy nature in these two important markets. Our AT&T wireless business continues to be very second half loaded again this year. Also what is worth noting though that while we can have GAAP earnings challenges and lower utilization periods, some of the charges are non-cash and EBITDA and cash flow can still be pretty strong as evidenced by Q1. In summary, we are off to a good start for the year. Q2 will be a little lighter than we previously thought and then we expect a very strong second half driven by renewables, pipeline and wireless work. And we should have another terrific cash flow year. That concludes my remarks and now let me turn the call back to the conference operator for the Q&A session.
Operator: (Operator Instructions). We will take our first question from Alex Rygiel from FBR Capital Markets.
Alex Rygiel - FBR Capital Markets: First Jose, you mentioned some new awards in pipeline work in the Northeast. Could you quantify that? And was that included in your first quarter backlog or does that fall into your second quarter awards?
Jose Mas: Alex, it falls into our second quarter awards. What I can say about pipeline backlog is if you think about the performance that we had in Q1, backlog from Q4 or from Q4 to Q1 was very similar. So I think we did a good job in picking up a good portion of the work that we worked off in Q1.
Alex Rygiel - FBR Capital Markets: You also referenced the solar market and the possibility of a major solar project in 2011. Could you help us to understand your definition of major? Is that a $100 million project, is it something greater than $200 million? Bracket it for us if you could a little bit. And possibly give us some better color on the likelihood of that.
Jose Mas: We'd take either one, Alex. I think that we've spent a lot of time especially over the last six to nine months in really developing a solar strategy. We brought on a lot of people at the company. We've invested a lot. And really the resources that we think we're going to need to make ourselves a viable player in that market. There's all different size of projects but they tend to be very large. So yes, there's $50 million projects and there are projects well over $200 million. So solar projects in general seem to be very large with a lot of equipment provided which drives up the dollar, so they are big project and those are the types of projects that we are going after.
Alex Rygiel - FBR Capital Markets: As it relates to your guidance, some of the variables to achieving your guidance obviously you mentioned wind, you need to win about 200 megawatts more of work through year end. Natural gas, Ruby probably needs to start in the July timeframe. And on the wireless side, AT&T does need to ramp in the second half. Any other major variables that we should think about and watch for in order for you to achieve your guidance for 2010?
Jose Mas: I think you covered them, Alex and we feel very comfortable about all of them, quite frankly. On the wind side, activity has really picked up. We're obviously sitting in a better position than we've ever sat in. From a backlog perspective, from a total megawatt perspective, but we're looking at a very large additional megawatt count for the balance of this year going into '11, that's either being negotiated or bid or we know it's coming out so we're very comfortable in that market. Pipeline activity is very strong at this point. There are a lot of large and small projects that are in queue right now. so we feel good about that. And I think we've always felt good about the Wireless business. I think we have solid visibility for the rest of the year there with very little risk. So we feel good about those three. And there's no question that those are the three that are going to drive our performance in the second half of the year.
Alex Rygiel - FBR Capital Markets: And do I have one request. Given that your customer base is absolutely broadening out here, especially across your different segments, it would be very helpful to your shareholders and the analysts if you could think about and consider starting to disclose profit by business segment.
Operator: We’ll take our next question from Vance Edelson from Morgan Stanley
Vance Edelson - Morgan Stanley: With regard to the pipeline delay and work not commencing until July, you mentioned this will impact the second quarter but not the full year. I would think that starting late kind of pushes everything back in which case this would also have some impact on full year revenues, or are you saying you can catch up over the remainder of the year?
Jose Mas : In dialogues with our customer, the completion date has not changed, so we still expect the completion date to be the same as we’ve been planning for all year. So we expect to be able to accomplish that. the delay has not been severe, it's less than a month, a couple weeks. It’s a big delay because the revenues on that project on a monthly basis are going to be very large. It’s a cost reimbursable project, so we will end up working more hours and more shifts. So we feel very comfortable that we are capable of completing that project under the timelines that the customer is asking.
Vance Edelson - Morgan Stanley:
FiOS:
Jose Mas: It all depends on what timeframe you want to look at, Vance, in my opinion. I think long-term, all of the telco companies are going to have to decide, what kind of product they want delivered to the home. I still believe that as we’re sitting here 10, 15 years from now that we’re going to have a much more fiber-rich backbone system. No question that some of our customers are curtailing back on their plans, especially Verizon’s been very vocal about what they’re doing with FiOS. We've seen in our business, our Verizon business has dropped the last couple of years. It’s continued to drop on a year-over-year basis in Q1. We expect that to kind of stay steady for the balance of the year. It’s going to be interesting to see what happens in that market place and ultimately what strategy that telcos deploy to offer higher speed internet and video. I don’t think we have all the answers for that. I think that’s part of what’s always made our business exciting as the rapid change of pace and the change of technology. I think that creates opportunities in and off itself. But right now, we expect that piece of the business to slowdown a little bit as we look at 2010. Obviously there has been a lot of federal stimulus dollars awarded on the broadband side. There’s a lot of talk about a national broadband policy. All of those things we’re staying very close to because they could have an impact on our business. And overall we feel good with our telco business. We think we’re going to have a good 2010, not a great 2010 but a good one. We do see signs of improvement, especially on the maintenance side. So we feel good overall, but there’s no question that as it relates to some of the fiber deployments our customers are rethinking where they’re currently at and what the deployment is going to look like for 2010.
Vance Edelson - Morgan Stanley: One quick housekeeping question if I may. The mix of business with DIRECTV right now, installs versus upgrades and maintenance, do you have that breakout handy?
Jose Mas: It really hasn’t changed. About two-thirds of our business is related to existing customers, be it upgrades or service, and I'd say about a third of it is related to new installs and that’s pretty much been steady for the last year, year and a half.
Operator: Moving next, we will go to Liam Burke with Janney.
Liam Burke - Janney: Jose you talked about, it's not surprising the distribution business is still tough. But you did talk about some life in the Transmission side. Where are you seeing the activity and what do you think is driving it?
Jose Mas: I think there has always been a lot of press on Transmission. We think that the best use of transmission are yet to come, we think there is a lot of big projects that will be out later this year going into next for construction starts. We’re little bit smaller in that business, we are competing for a lot of the midsize and smaller jobs, it was a tough year-end as we look at the end of ’09, our activity picked up as the year went on in ’09, activity still continues to be somewhat brisk at the beginning of ’10. We are trying and working hard to position ourselves to be able to compete on different size projects and our larger projects. I think we’ve made some in roads, I think reviewed differently in that industry today than we were a year and a half ago or two years ago. So I think we are making progress and our intent is not to be a small player in Transmission, but rather a large player and we are working hard to get there.
Liam Burke - Janney: And Bob, the accounts receivables came down considerably as you pointed out in your commentary. What were you able to do differently or was it just the make up of the business and 50 days, is that a number you can continue to live with?
Bob Campbell: You know to be perfectly honest the inclusion of Precision helped us significantly, which I can just claim and describe financial management. But numerically Precision helped a lot. I think 50 days is something we’ve never been at this level, never even been close to this level. I think we are going to watch it for a few months before we come out with a new public goal. If you remember for a long period of time, the number of years, our goal was to get under 60, 60 or better. And now that we’re there, you’ll hear us come out with the new goal hard to run a business without a goal. But a lot of that was just mix, the inclusion of Precision.
Operator: We will take our next question from Adam Thalhimer from BB&T Capital Markets.
Adam Thalhimer - BB&T Capital Markets: Jose, is the Ruby contract a cost plus?
Jose Mas: It’s a cost reimbursable project, Adam.
Adam Thalhimer - BB&T Capital Markets: Would you characterize the pricing on that contract as better than what you might get on new bids in today's environment?
Jose Mas: No, not necessarily, I think we’ve talked in the past about the difference between fixed price and cost reimbursable, I think you obviously have more potential upside on a fixed price if you perform well. I think we are very comfortable in being able to perform both ways and think there is benefit to both. So I wouldn’t necessarily say that it’s a different margin profile nor would I say that based on the market that you would get different pricing today or different margins today on projects, so I don’t think that’s the case.
Adam Thalhimer - BB&T Capital Markets: Okay. Another question I had, just listening to FPLs commentary on wind, two quarters ago they said it was getting easier to sign PPLs with utilities. This quarter they said it was getting harder again. I mean, how do we read that, I mean what are you hearing from developers about these types of issues?
Jose Mas: You hear something different from a lot of different points in the industry. We’ve got our customer base that we deal with and I think that, to best summarize what we are hearing its in our performance. We are sitting on 1100 megawatts of construction for 2010, which is the best we’ve ever had. We are looking at dramatically more than that in RFPs and in projects coming. So, we see very strong pipeline in the business, we’ve got customers that are very, very bullish on this industry. We’ve got other customers not as bullish. So, overall it’s a very different environment this year than it was last year in a positive sense. So, we are excited about what we are seeing there is mix messages being sent by different people, some are a lot more successful in this market than others but, we think that the industry is risk. We think its going finish out really strong and we think ’11 is going to be even better than ‘010.
Adam Thalhimer - BB&T Capital Markets : So you still think there’ll be some developers that want to take advantage of that convertible ITC deadline at the end of ‘10?
Jose Mas: Absolutely.
Operator: Moving next we’ll here from Tahira Afzal from KeyBank.
Tahira Afzal - KeyBank : Just to start with, I would love to get a sense as you talk to your clients about solar and wind, is one growing faster than the other for your clients? And how do you see your opportunities and in both on a competitive level?
Jose Mas: Tahira, wind is far ahead of solar in the industry. So, there is obviously going to be a lot more wind built in 2010 will be solar. I think solar has accelerated from a very, very small level to a growing market. So, I think solar is a rapidly growing market in its infancy, which give us an opportunity to compete in that business really from the ground level and be able to compute well at it. So, winds going to be bigger, winds going to have more megawatts solar projects are different in that the contracted amounts of available for companies by guards are dramatically larger. I think it’s going to be a growing part of the renewables base for many years to come so I think it’s a viable business, I think it’s a good one, I think it’s one that we are going to try to get involved with in a big way. And I think our competitive position is just a strong as it is in wind. We are starting to see a lot of the companies that we’ve traditional performed wind construction for begin to get in to solar and look at solar a lot more actively then have a over the last couple of years. So, we think there is going to be lot of synergies based on our customer base. So, again we feel good about our competitive position we think it’s a growing industry one that has been in infancy and we are getting in at the ground level, which is a little bit different than wind.
Tahira Afzal - KeyBank : And Jose, if you look at the wind installation business, obviously with [one track] you have a big advantage because it seems to be more capital intensive in a sense in terms of the cranes and the equipments you need. If you look at solar, is there any competitive barrier you can point to that gives you the big conviction that you can have the same competitive edge?
Jose Mas: We’ve always said that our competitive edge doesn’t come from our equipment or the capital that we’ve invested in the business but rather than people and the reputation that we have. We think that that’s a big driver in the renewable business and we think it’ll be a big driver in the solar business. And I think that gives us an edge. So, I think our resonate what we’ve done in win, what we done in renewables makes [supplier] immediately. Obviously does help that we’ve got significant capital allocated into the renewable business. but I think it has lot more to do with reputation and people I think we have great people and a great reputation.
Tahira Afzal - KeyBank : Got it. Okay. And second question and then I'll hop back into the queue. You know, earlier on you talked about maybe taking in (inaudible) experience with AT&T and trying to replicate that and make inroads on the Verizon Wireless side. I would love to get a sense of how that initiative is progressing and how we can track that within your numbers.
Jose Mas: That continues to be a priority for us to expand our customer base in the wireless sector not just with Verizon, but with many others. I think today we are working for Verizon, we are working for some others the difficulty is that obviously AT&T is going at a very fast clip that’s a very large business and we got a lot of resources and assets to meet their plans and that becomes our number one priority because of their size, but we are not taking our eye of the ball customer diversification in that industry is very important I think we’ve made some inroads not as quickly as I’d like but I think we are making progress I think that (inaudible) shop and numbers you know our top ten customers are pretty large when you look at them from an annual perspective, so we are going to have to grow one of those businesses to be pretty big before you can track it on, on a top ten list but that’s our goal we are working hard to it making progress and we think we’ll get there.
Operator: We’ll take our next question from William Bremer from Maxim Group.
William Bremer - Maxim Group : Jose, let's start off with the solar aspect. You said you're making some investments in that area. Can give us an idea of the CapEx being deployed there and what exactly are these investments?
Jose Mas: No the investments are in people I mean it almost comes back to the question that was just asked and really the answer around people on reputation I think as this business grows and as we get into this business that’s one of the most important aspects we’ve done a lot around that, we’re learning the business, we’re learning the development side of the business so that we understand what our customers needs are and what they can accomplice and then really try to bring innovative solutions to their business model and what they are trying to do. So as I look at it 2010 we’ll spend $2 million in people and in Sun Capital to really grow that business and I think its going to pay off in a big way.
William Bremer - Maxim Group : Okay, great. Now moving into pipeline awarded two projects in the Northeast. Congratulations there. Can you give us an idea of the miles on these projects as well as are they the large size, let's say 48-inch pipelines or are we talking smaller sizes?
Jose Mas : It’s a good question, because its leads to probably a discussion in that industry I think when you look at the pipeline industry you have two types of projects right you got the long arm projects which I think were a very good player in today and Precision broader side capability and they are executing in that side of the business in a great way and then you’ve got all the shale plays and obviously the work is coming of the shale plays which is an increasing piece of that industry, and if you think about MasTec we’ve got Southern play on that an acquisition we made a couple of years ago we now have a northern player of that with Precision I think that those businesses are seeing an incredible increase in activity I think that long term those are going to be very large business opportunities for us in both of those all of those shale place are going to represent a much bigger part of our business going forward. So we are very actively chasing those some of those are large pipes, some of those are small pipes, some of those are longer mileage or shorter mileage and to be quite honestly it doesn't really matter to us today as long as from a total dollar perspective we’re picking up our share there. that business is risk and we're going after that aggressively. There is also a lot of long line work out there that we’re competing for, activity is good there. So we’re looking at both, the projects that we were awarded in the first quarter, we’re mixed, we had some of both in there and I think you'll continue to see that as the year goes on.
William Bremer - Maxim Group: In terms of the D&A for the quarter is $14 million. I'm expecting a little bit of a ramp there. But how much of a ramp should we be using forecasting for depreciation and amortization going forward?
Bob Campbell: If you look in the back of the press release, we got a Q2 guidance number, I'll give you the number, it's $14 million for D&A. It's relatively flat with Q1.
Jose Mas: Bill, if you look at it for the year, it's 57 in our guidance versus about 50 for last year on a full-year basis.
William Bremer - Maxim Group : And then fully diluted shares outstanding, considering the converts?
Bob Campbell: Yeah, for the rest of the year we should be at roughly 91 million shares with both converts being dilutive. On that second convert it would be adding back the after-tax interest and adding in the shares. And for everyone's benefit the after-tax interest on that is $631,000 per quarter and the add back on the share count is 6,462,000 shares.
Jose Mas: And just to remind everyone, every quarter we’ve got to do the test on each convert and we have to take the method which is more dilutive and in this quarter and we think only in this quarter, keeping now one convert out of the share count and now taking back the interest expense was more dilutive and that's why it was booked that way in Q1.
Bob Campbell: To be very precise, if net income in a quarter is over $7,475,000, both converts will be dilutive. And with our guidance out there, both will be dilutive, the rest of the year.
Operator: And we will move to the next question from [Vinny Alexandra] with Pritchard Capital Partners
Unidentified Analyst: To go back to the pipeline business, you said bidding activity is great, small projects, big projects. The Ruby project was a very significant one. From what you're seeing out there, can we expect another one at this scale or they are going to be smaller or short term?
Jose Mas: There are big projects that we will be bidding, that are bidding so we’re hopeful that we'll continue to be able to perform on projects like Ruby every year.
Unidentified Analyst: And then can you give us total megawatts that you're bidding on right now on the wind side? Bidding activity is strong you said, but can you really quantify that for us?
Jose Mas: I can, I think what we’re looking at is bids that are outstanding, bids that we know are coming that will be either provided some sort of preliminary price on or we know will be bid in the course of the next few months, is sitting at around 2,500 megawatts, it’s obviously a very large number. We don’t expect to win anywhere near that, but we are going to compete for it. Some of those projects may ultimately not get built, but we think a large percentage of those will. So, that’s probably a stronger pipeline as we ever had and again we are very encouraged.
Unidentified Analyst: You talked about solar but in the past I remember you were talking about geothermal as well. Are you moving forward on this side, are you investing more and what do you anticipate?
Jose Mas: We didn’t take much time today talking about our industrial group and the things that we are going after there, we are obviously building as Bob mentioned a combined heat power plant. We are very bullish long-term on our industrial business. We are looking at all types of industrial work, both on the petroleum side, the biomass side and power work in general. We made some very key hires this quarter, some different people from the industry that we brought together. We opened an industrial office in Houston. So, we are making an investment in that business. Again we think it’s going to be a bigger part of our story and hopefully it will be something that we address over the coming quarters.
Operator: We’ll next to John Rogers from D.A. Davidson.
John Rogers - D.A. Davidson: Jose, could you talk a little bit, especially for the large construction projects, the Pipeline, and then the Energy markets, kind of where margins are? I know you don’t give segment data, but where you expect to see those margins over the next couple of years? And is it significantly different from what you’re seeing right now?
Jose Mas: I think you can answer the question by going back right. When you look at the margins that Wanzek had when we bought them and you look at the margins that Precision had when we bought them. Have margins been somewhat challenged over the course of the last year as the market and as the economy in general has deteriorated, the answer is no, absolutely it has.
John Rogers - D.A. Davidson: What type of magnitude?
Jose Mas: We’ve tried to quantify that in the past and we said that margins are probably down a couple of 100 basis points when you look at, those margin tended to be higher anyway but they are probably down a couple of 100 basis points from where they were at their peak. I think it’s very project and industry driven. I think there is still projects in industries out there where you can get good margins out of the business. But margins have been impacted and we think that as the economy improves, we are going to have an opportunity to increase margins again and we have harped on it little bit as a company but we think that we’ve executed incredibly well over the course of the last few years. And we think we have done it in an awful environment and an environment where business is shrinking and an environment where there has been price pressure and part of the story that we’ve been trying to sell is just think about what we are going to be able to accomplish when the market improves and it's really when we got some tail behind it, some winds behind our tails and pushing us forward. And I think that there is going to be substantial room for improvement in our business model. So, margins have been impacted. It’s still good margin business. It’s still a solid industry out there. We’ve seen some competitors fail. Right so I think the competitive landscape is changing. And I think things across the board are improving, which is a very positive sign. So, we feel great about what we’ve been able to accomplish considering the environment that we’ve been living in and we think it’s only going to get better.
John Rogers - D.A. Davidson: Do you sense that we're at the bottom for those margins?
Jose Mas: I think we already passed the bottom I think things were already getting better. And if you look at number right we are down 140 basis points year-over-year on gross margin when you look at our second quarter guidance that gap begins to lessen as you look at the back end of the year, we are probably going to have some nicer comps from a margin perspective so I think that even within our own company, you are going to see margin comparison improve as the year goes on which I think supports what we are saying.
John Rogers - D.A. Davidson: I can see that. I guess I'm just trying to figure out how much of it is mix versus an improving pricing environment.
Bob Campbell: Just give that some numbers John. Last year we improved 9.4% EBTIDA margin and the EBTIDA margin implicit in our guidance is 10.4 to 10.6, so that tells you even in sort of the soft markets that Jose talked about we are still seeing margin expansion.
John Rogers - D.A. Davidson : But you didn't have Precision for the full year last year.
Jose Mas: Right
Operator: We’ll take a follow up question Alex Rygiel from FBR Capital Markets
Alex Rygiel - FBR Capital Markets: Jose, was there any storm revenue in the quarter and could you quantify it?
Jose Mas: Minimum, we had a little bit of storm revenue in the Northeastern distribution side of the business but not even worth mentioning.
Alex Rygiel - FBR Capital Markets: Two other questions. Could the fourth quarter be stronger than the third quarter both revenue and EPS?
Jose Mas: I doubt it, someone what depends on weather late in the year we are expecting to have, our pipeline business and wireless will have very strong Q4s our renewable business might peak in Q3, but whether permitting it might boil in the Q4. So I think there is chance I think that we are expecting those quarters as they have been in the last couple of years to be fairly similar, so I don’t think you have big ramp in Q4, but I think Q3 and Q4 are a lot of steadier and a lot closure in size.
Alex Rygiel - FBR Capital Markets: And could your revenue from natural gas be greater than the wind in 2010?
Jose Mas: Our revenue from our pipeline business versus our renewable business is that’s question Alex
Alex Rygiel - FBR Capital Markets: Yes.
Jose Mas: I think, there is a lot of months left in the year, there is a possibility I think that be closer to equal and anyone being necessarily greater than the other. I think long term renewables has probably more potential just based on where we stand in that industry but it could go either way there is some large projects out there and that needle could move either way.
Operator: And we’ll take our final question from Tahira Afzal follow up.
Tahira Afzal - KeyBank : Couple of follow ups number one, [to the extent possible], could you give us an idea of that 1100 megawatts in terms of profiles that you already have on your plate? Is it more oriented towards large developers and then is it possible to determine how much of that is backed up by PPAs?
Jose Mas: I can tell you that we are probably working for six major customers to make up the bulk if not that entire number it would be six major developers in the wind industry some of them which were in our top ten list, so I think you can kind of figure that out, I say the majority of the projects we are working on have PPAs, I know that there is a couple that don’t, but again we are not always preview to that information. So we are out there, we are asked to construct it and we feel the customers has credit, we are going to construct.
Tahira Afzal - KeyBank Capital Markets: Got it. Okay. And Jose one of the push backs I sometimes get is, you can look across the feedback of the news flow coming in from the smaller developers, obviously they are still stressed. Is it fair to say that one of the reasons you are standing away, or you are relatively outperforming the general trends that might be out there on the wind side is because you’re more aligned with the larger developers as well?
Jose Mas: I think that, over the course of since we have bought Wanzek I think we did an excellent job of reintroducing, both Wanzek and MasTec to the developers community base thus calling to all other developers that are in the market, I think that those efforts have gone a long way in the improvement of the business and in our market share gains in that business. But I also feel that we are going to be able to see those same market share gains with smaller developers as they come back. We are just seeing it with the large developers because that’s what’s working today, but I think we are going do very well with both sub sets of customer. Although today and the major customers are still our biggest customer and that will continue. But I do think you are going to see more wins from us, from smaller developers who are out there building a couple of projects or maybe even one projects. So as that market comes back we are going to be a bigger player in that market than we traditionally were.
Tahira Afzal - KeyBank Capital Markets: Got it. Okay. Thank you very much, Jose.
Jose Mas: Thank you Tahira
Operator: That concludes question-and-answer session today. At this time, I’d like to turn the conference back over to our speakers for any additional or closing remarks.
Jose Mas: Well, once again, I’d like to thank all of you for participating on the call today and for your support. And we look forward to speaking again on our second quarter call. Thank you.
Operator: That concludes today's presentation. Thank you for your participation.